Operator: Good afternoon ladies and gentlemen and welcome to the Benchmark Fourth Quarter and Fiscal Year 2024 Earnings Call and Webcast. At this time, all participants are in a listen-only mode. [Operator Instructions] This call is being recorded on Wednesday, January 29, 2025. I would now like to turn the conference over to Paul Mansky, Investor Relations and Corporate Development. Please go ahead.
Paul Mansky: Thank you, John, and thanks everyone for joining us today for Benchmark's fourth quarter and fiscal year-end 2024 earnings call. Joining us today are Jeff Benck, CEO and President; and Bryan Schumaker, our CFO. After the market closed today, we issued an earnings release pertaining to our financial performance for the fourth quarter and fiscal year-end 2024, and prepared a presentation which we will reference on this call. Both the press release and presentation are available under the Investor Relations section of our website at bench.com. This call is being webcast live and a replay will be available online after we conclude. The company has provided a reconciliation of our GAAP to non-GAAP measures in the earnings release as well as in the appendix to the presentation. Please take a moment to review the forward-looking statements disclosure on Slide 3 in the presentation materials. During our call, we will discuss forward-looking information. As a reminder, any of today's remarks, which are not statements of historical fact, are forward-looking statements , which involve risks and uncertainties as described in our press releases and SEC filings. Actual results may differ materially from these statements. Benchmark undertakes no obligation to update any forward-looking statements. For today's call, Jeff will start with an overview, followed by Bryan's deeper dive into the results and our first quarter guidance. We will conclude with Jeff sharing more insight into the demand trends by sector, new business wins and some final remarks. If you will, please turn to Slide 4, and I'll turn the call over to our CEO, Jeff Benck.
Jeff Benck: Thank you, Paul. Good afternoon and thanks to everyone for joining today's call. The fourth quarter and fiscal year 2024 continued to demonstrate our operational execution and reinforce the business model leverage we have as a company. This was exhibited by an outstanding year in margin expansion and free cash flow generation. Let me step through a few highlights. Fourth quarter revenue of $657 million was in line with guidance as Semi-Cap, A&D and complex industrials delivered strong results, which were offset by anticipated weakness in Medical and AC&C. Non-GAAP gross margin in the quarter of 10.4% continued our multiple quarter trend of year-on-year expansion. Non-GAAP operating margin was again over 5%, but down slightly sequentially due to variable compensation true ups given our strong annual performance. Turning to Slide 5. On a full year basis, we grew non-GAAP gross and operating margins by 60 and 20 basis points, respectively, which was quite an achievement in the face of mid-single-digit revenue declines in 2024. This bodes well for our earnings leverage as we return to revenue growth in 2025. We also reduced inventory in the year by over 130 million or 20%. This helped enable us to generate over $156 million in free cash flow in the year, even with our ongoing investment of capital to support future growth. I'd like to recognize the team for their efforts on inventory reductions, which helped enable these great results. Looking forward, we expect to see revenue growth across majority of our sectors in 2025. We will continue to maintain our focus on controlling expenses, improving operational excellence in our factories and direct working capital to support our customers' growth plans. In fact, as I mentioned in our release, this quarter we intend to break ground on a fourth building in Penang, Malaysia, primarily in support of our semi capital equipment customers' needs as we continue to gain share and win new programs. As we look forward to 2025, I'm encouraged about the growth opportunities in front of us, driven by the previous wins we secured, the anticipated demand recovery in our Industrial and Medical sectors and a return on the investments we have made in our capacity and capabilities. Collectively, these dynamics position us well to deliver increased shareholder value in 2025 and beyond. I'd now like to pass the call over to Bryan for a deeper dive into our results and outlook. Bryan, over to you.
Bryan Schumaker: Thank you, Jeff, and good afternoon, everyone. Please turn to Slide 6 for our fourth quarter 2024 revenue by market sector. Semi-Cap revenue increased 18% year-over-year and Industrial grew 5%, both supported by improving demand and new customer wins. Medical revenue was down 7% versus the prior year, albeit up 9% sequentially. We continue to see inventory rebalancing impacting year-on-year performance, led by weakness in medical devices. A&D revenue was up 15% year-over-year. Commercial Aerospace demand remained strong, both within Aviation and Space applications. Meanwhile, we continue to see robust demand within Defense, including existing programs momentum and a number of new program wins. AC&C decreased 48% year-over-year as expected. This decline was driven by a couple of large HPC programs being completed earlier in the year combined with continued weakness in our communications business. Please turn to Slide 7. Revenue in the quarter of $657 million was flat sequentially and down 5% year-over-year. Our GAAP earnings per share for the quarter was $0.50 Our non-GAAP EPS was $0.61 which was above the high-end of our guidance range of $0.53 to $0.59 As a reminder, our non-GAAP results exclude stock-based compensation, amortization of intangible assets and restructuring expenses. For Q4, our non-GAAP gross margin was 10.4%. This represents a 10 basis point increase year-over-year. Non-GAAP SG&A expense was $35.1 million, up 9% sequentially and up 6% year-over-year due to higher variable compensation. Non-GAAP operating margin was 5.1%, down 20 basis points sequentially and down 40 basis points year-over-year driven by higher variable compensation expense. Our fourth quarter non-GAAP effective tax rate was 22.4%. Non-GAAP ROIC in the fourth quarter was 9.9%. Please turn to Slide 8 for our revenue comparison by market sector for the full year 2024. Semi-Cap revenue increased 12% year-over-year supported by improving demand and new customer wins. Industrial revenue decreased 4%. The decline was driven by reduced demand from existing customers, partially offset by new program ramps. Medical revenue was down 19% versus the prior year due to the previously mentioned inventory rebalancing and end demand weakness within medical devices. A&D revenue was up 20%. Commercial aero demand remained steady, while space demand continues to grow. Within defense, we see broad based strength from existing programs as well as the launch of new program wins. AC&C decreased 30% year-over-year driven by previously discussed weakness in both HPC and Communications, which we expect to persist at least through the first half of 2025. Please turn to Slide 9. For the fiscal year, revenue of $2.7 billion was down over the prior year, 6%. Our GAAP earnings per share for fiscal year 2024 was $1.72. Our GAAP results included restructuring and other one-time costs totaling $6.3 million related to resource rebalancing at certain manufacturing sites. On a non-GAAP basis, fiscal year 2024 EPS was $2.29. GAAP and non-GAAP gross margin of 10.2% each increased 70 and 60 basis points, respectively, due to the improved operational efficiencies, proactive cost reductions taken by our manufacturing sites and favorable revenue mix. Our non-GAAP SG&A was $136 million, up 2% year-over-year due to higher variable compensation and wage increases. Non-GAAP operating margin was 5.1%, an increase of 20 basis points driven by gross margin expansion. Our non-GAAP effective tax rate was 23.5% for the year. Please turn to Slide 10 for trended non-GAAP financials. As you will see, despite demand challenges amongst some of our end markets, we continue to focus on protecting gross margin, which again expanded year-over-year. Although operating margin declined sequentially and year-over-year, we were pleased to report another quarter of 5% or greater performance. Please refer to Slide 11 through 13 for a discussion of our cash conversion cycle, liquidity and capital allocations. Cash conversion cycle in the quarter was 89 days, an improvement of 1 day sequentially and 9 days versus the prior year. In Q4, we continue to emphasize working capital efficiencies, which combined with our net income enabled us to generate $46 million in operating cash flow and $37 million of free cash flow in the period. In fiscal year 2024, we generated $156 million in free cash flow. Our cash and restricted cash balances on December 31 was $328 million, a sequential increase of $4 million. During the quarter, we reduced debt by another $22 million, leaving $123 million outstanding on our term loan and $135 million outstanding against our revolver, of which we have $411 million available to borrow. Our Q4 2024 liquidity ratio, as calculated by our debt covenant, was 0.6, down from 1.1 in the prior year period. We invested approximately $33 million in capital equipment in 2024, including $9 million in Q4 in support of continued growth and enhanced capabilities in our Mexico, Malaysia and Romanian facilities. In support of returning capital to our shareholders, we paid cash dividends of $6.1 million in the quarter $23.9 million during 2024. Finally, in 2024, we repurchased $5.1 million of our outstanding shares. At the end of the year, we had approximately $150 million remaining in our existing share repurchase authorization. Please advance to Slide 14. Let me now turn to our guidance for fiscal Q1 ending in March. We expect revenue to be within a range of $620 million to $660 million. We expect non-GAAP gross margin to be between 10% and 10.2%, which is consistent with our performance over the last several quarters. Non-GAAP SG&A expenses are expected to be within a range of $34 million to $36 million. With those assumptions, we would expect non-GAAP operating margin to be between 4.5% and 4.7%. On a GAAP basis, we expect expenses to include $4 million to $5 million of stock-based compensation and $2.6 million to $2.8 million of non operating expenses, including amortization, restructuring and other charges. Our non-GAAP diluted earnings per share is expected to be in the range of $0.48 to $0.54. Interest and other expenses are expected to be between $4 million to $5 million. We expect our Q1 effective tax rate will be between 23% and 24%. Our weighted average share count is expected to be approximately 37.3 million. We are planning to spend between $15 million and $20 million on CapEx in Q1 and $65 million to $75 million for the full year. The majority of our Q1 spending is in support of our Penang IV building, which breaks ground in the current quarter with an expected completion in 2026. Finally, we are anticipating free cash flow in Q1. For the full year, we expect this to amount to $50 million to $80 million inclusive of the elevated CapEx spend associated with the investment in the new building in Malaysia. And with that, I would like to turn the call back over to you. Jeff?
Jeff Benck: Thanks, Bryan. Please turn to Slide 15 for a discussion of our performance and outlook by sector. Our Semi-Cap revenue grew an impressive 18% year-over-year in Q4 and 12% on the full year. This was driven by new wins, share gains and some recovery in specific sub segments of the Semi-Cap industry. Despite the mixed recovery across the broader sector, we see signs of continued growth and remain supportive of analysts' long-term forecast pointing to the semiconductor industry reaching 1 trillion in size by the end of the decade. It's obvious the current Semi-Cap cycle has not followed historical patterns. However, we are continuing to invest in the long-term. Based on our available capacity and share gains, we remain well-positioned to grow faster than the broader market. In fact, we are anticipating double-digit growth in both the first quarter and for the full year. The breadth of new wins this past quarter that encompass both precision technology and engineering provide us greater confidence in our continued momentum in this sector. In Medical, similar to last few quarters, inventory related demand softness has weighed on sector performance with quarterly and full year revenue declining versus the prior period. We expect this to improve over the next few quarters. This is leading us to a forecast of flat revenue environment for Medical in 2025. However, we continue to pick up new wins in both life sciences and Class III medical devices, which is a solid indicator of our long-term growth opportunity in this sector. These take time to ramp given the highly regulated nature of the markets, but we believe this is a good leading indicator of our future growth in this traditionally strong sector for Benchmark. Turning to Complex Industrials, we saw a return to year-on-year growth in Q4, although full year was still slight -- still down slightly. Looking to 2025, we expect low to mid single-digit growth in the sector for the year with modest year-on-year growth in the Q1. Macroeconomic challenges persist, but we see plenty of greenfield opportunities both as a function of our unique capabilities and the sector's continued shift towards outsourced manufacturing. Reflecting this, the fourth quarter was particularly strong in terms of bookings, which consisted of competitive takeaways, business expansion and new wins. This included a competitive win in commercial gaming and another in audio control systems, both from new customers. A&D is performing very well for us as defense continues to experience strong demand, while commercial air has recovered and provided stability. Both the fourth quarter and full year 2024 saw strong double-digit year-on-year growth as we benefit from the expansion of existing programs and prior new business wins. This past quarter, A&D was their second biggest booking sector within the company, which is balanced across defense and space and encompass both manufacturing and engineering programs. In the quarter, we closed an opportunity that expands upon an existing program for us at the Department of Homeland Security, where we've been providing surveillance systems that enable better border protection. Looking forward, we expect continued double-digit year-on-year growth from this sector. Lastly, AC&C revenue declined 23% year-over-year in the December quarter and 30% in the full year. As we've been saying for several quarters now, sector pressures are expected to persist at least into the first half of 2025. This is being driven by two key factors. One is the delay in timing of the next gen HPC platforms due to a planned technology transition and the other being the time required to ramp an existing communication customer's new product line that we won. Looking forward, we see new product introductions across both subsectors that should enable a return to growth late in the year. At the same time, we're proud to have been a key supplier in support of building 3 of the top 5 fastest supercomputers in the 64th edition of the top 500 list published in November. We look to expand our participation in this market as the next gen platforms are introduced. In summary, please turn to Slide 16. Our fourth quarter and full year 2024 results once again demonstrated Benchmark's ability to manage through volatility while delivering on our commitments, both to stakeholders and our valued customers. To that end, even though revenue contracted modestly during the year, Benchmark continued to drive non-GAAP gross and operating margin expansion. At the same time, we've generated positive free cash flow over the last 7 quarters and expect this quarter to be our 8th. This speaks directly to our top to bottom focus as a company to execute our financial objectives even in times of macro uncertainties like we've seen over the past year. We are anticipating an improved demand environment as we progress through 2025 that should support our return to revenue growth for the year with earnings growth outperforming revenue. Finally, our execution has allowed us to continue to return capital to shareholders. In recent years, this has primarily been through our quarterly dividend, which we increased last year. However, we anticipate complementing this with increased share repurchases over the coming year. Let me wrap up by saying, regardless of the market environment, we are committed to our strategy. We are going to support our customers in any way they need and at the same time drive further operational improvements within the company. We are winning new business in our focused markets and have a clear vision of what we need to do to drive future growth. I look forward to updating you on our success in the quarters to come. And with that, I'll now turn the call over to the operator to conduct our Q&A session.
Operator: [Operator Instructions] Your first question comes from the line of Jim Ricchiuti from Needham & Company. Your line is now open.
James Ricchiuti: Hi, thanks. Good afternoon. So it looks like you're still anticipating pretty healthy growth in the semi market in '25. Jeff, how much of that is the continued benefit that you're seeing from share gains? Or are you actually hearing more positive, a more positive tone from some of your OEM customers?
Jeff Benck: I would say it's a bit of both. We definitely had a strong share gain year last year and it was driven -- last year's growth was driven more on the share gain side of things. But as we look to '25, we're seeing some improved demand. It's not across the whole sector. Some tools and some divisions of our OEMs are doing a bit better, but we also have won a lot of new bookings over the last several years and some of those are really ramping -- starting to ramp in '25. So it's a combination.
James Ricchiuti: Can you elaborate on some of the areas within the customers that are showing a little better tone to business or conversely ones that areas that are still somewhat sluggish?
Jeff Benck: Yes, it's a little bit sensitive. Obviously, it's pretty competitive out there. So don't want to give too much detail there. I would say we all kind of saw memory start to return a little bit faster and in terms of where the demand has been and the tools that support that. Now as we kind of look, it's a lot more on the front end, I would say, and that's where we have better exposure in the way for fab space than on the test in the back end of that platform. But some of the OEMs work through inventory in the down cycle and others were really bringing on inventory. So there's a little bit of movement back and forth as we look across customer sets. But we think the market is healthy and we're looking for the market to overall be up there, but we think we'll grow faster.
James Ricchiuti: Got it. And maybe a question for you, Bryan. Just the Q1 guide, does that reflect the normal seasonal increase in variable comp costs? Is that pretty much what's also playing? And I know you talked -- I think you called it out for Q4 as well. And then just a quick one on cash flow. Congrats on that. Is there much more to do on working capital, particularly with respect to inventory?
Bryan Schumaker: Yes. On the first question, as you think of the variable comp component, there is a piece of that flowing into Q1. You also have higher taxes and everything resetting the year that kind of causes some of that increase in that period. So you have both of those that are driving that kind of so it is normalized for the Q1 time period. As far as the working capital, again, we are going to continue to drive that. If you look at the inventory, historically, we've been at turns a while ago of 5, 5.5 turns and we're going to continue to drive that from the 4 that we're at today on the inventory side of that and we'll continue to work on the other components of the working capital. So there's still more work to do there and we'll continue to drive that.
James Ricchiuti: Okay. Thank you.
Jeff Benck: Yes, thanks, Jim.
Operator: Your next question comes from the line of Steven Fox with Fox Advisors. Your line is now open.
Steven Fox: Hi, good afternoon. A couple of questions for me.
Jeff Benck: Hey, Steve.
Steven Fox: First off, hey, Jeff, this is about as good as you sounded about your end markets in a couple of years. And I know you were adding that was a compliment, I'm not sure.
Jeff Benck: Yes. I heard you did that.
Steven Fox: Okay, good. And like if I go back to a couple of years ago when you were sort of adding capacity for some of the new programs that got delayed or had to work through inventories, et cetera, it seems like you would have some extra operating leverage as things start to improve here. Can you just sort of give us a sense for how much as things recover, you can leverage the margins and maybe what the offset is with the new Penang building? Thanks. And then I had a follow-up.
Jeff Benck: Yes. Yes. No, good question. We've got capacity. There's no question, right? We invested in expansion in Guadalajara as well as in Romania and in Penang, right? And even some in Arizona around the semi-cap space. So we did stand up over the last 2 years some new facilities and expansion like Romania we doubled the size of the current. We didn't pick a new site or anything like that. So there's no question that we've got opportunity here to drive more leverage as we get utilization up. It is going to depend a little bit where the new business is and where that growth recovery happens because if it hits the right sites that are under loaded, that will be more beneficial. Part of the reason we did the expansion where we did some of the low cost regions allow our customers to regionalize or semi we see a lot of demand, a lot of wins there and so we put capacity where we see that growth. So some of that is aligned with it. But I think we would say we would expect there to be more leverage. We're still transitioning the first half. We're down sequentially. We're down a little bit year-over-year. But we do see our thoughts and the forecast is for growth on the full year as we've kind of indicated. So I think your instincts on that are right in terms of the opportunity there for us.
Steven Fox: And in terms of the Penang drag as you invest in new capacity there, can you help on what the offset would be from some of that?
Jeff Benck: We've kind of -- we did well with the Penang 3 building where we absorbed it into our numbers and it really didn't show the drag. Obviously, we're just at the front end of this brand new building of laying the cash out and we do recognize it'll as it comes through, it'll hit depreciation line. But given the outlook and prospects over the next several years, I think it's I don't think you'll see much of an impact from us standing up that new facility in Malaysia.
Steven Fox: Great. And then just as a follow-up, you mentioned precision machining and engineering a couple of times in the prepared remarks and I know that also can drive margin. Can you talk about maybe what's new and different there in terms of the wins or what you've accomplished maybe as to why you highlighted it? Thanks.
Jeff Benck: Yes. It kind of plays into a bit the Penang growth and the investment there. One of the things we've been working to do is how do we do more vertical integration. And so it's not just -- it's like we have the ability now to be the largest frame builder in that region, right? And that can support not only in Malaysia, but also Singapore and where our OEMs might have facilities. But we could build these really large frames. We can grind powder coat, complete that. We can then build the sub assemblies machine, whether it's a shower head or a platen that the wafer rides on and e-beam well, cooling coils into that, build electronic cabinets around it, then integrate that all in the frame. I'll tell you there's not many folks in our space that can do that and we've continued to invest here to really have that kind of capability. And I think the OEMs are taking notice of that and we're in the right region and correspondingly we're winning there.
Steven Fox: Great. That's all very helpful. Thank you.
Jeff Benck: No worries.
Operator: Your next question comes from the line of Jaeson Schmidt from Lake Street. Your line is now open.
Jaeson Schmidt: Hey guys, thanks for taking my questions. Just looking at the Medical segment, I know you noted strong bookings. Just curious what end markets within this vertical you're seeing strength?
Jeff Benck: Yes. From new bookings, we've done better most recently, Jaeson, in life sciences, whether it's searching for the next cure to some horrible disease, but DNA sequencing, those kinds of sophisticated systems and solutions in that sector, that subsector are growing in the market and the people investment there. We also traditionally have been pretty strong in medical devices, fluid management and so we've seen some wins there as well. Another area that we see more interest is just in monitoring solutions, right, whether that's at your home or in the hospital, being able to track more and more people want real time feedback, your doctor wants it. And some of those control systems are continuing to grow and we see ourselves participating there. Just to give you a little sense of where we've seen that. Of course, some of that does have the longer time to market just given the when you're talking to like particularly Class III products that have to go through FDA and all of that. But we're feeling pretty good about some of the new logos that we're bringing on to the company.
Jaeson Schmidt: Okay. No, that's really helpful. And I know it's dependent on sort of what programs you're focused on, but do you think you're losing share in Medical or is it simply sort of this inventory digestion period?
Jeff Benck: Really the latter. We really -- it's funny, as you can imagine, I'm always challenging our team on looking and understanding that. We are also talking a lot to our customers and we know that there was post-COVID exuberance where people did believe that some of the demand we saw coming snapping back was going to stay at that level and subsequently their channels absorb some of that. And so I actually think the end market demand is better than what we are seeing because they've got product they can support that with. So you might see one of our customers grow, but yet we are still seeing the business be a bit off. I feel very confident that we haven't lost share. And it's not like one customer either, which is another kind of indicative where we might have 4 or 5 customers that are all sort of dealing with that. And some of its exposure to the particular vertical or sub segment you're in. And so I won't say that every competitor of mine looks the same, but that's at least what we are experiencing right now that it is much more of an inventory deal that we thought I will say we probably thought that was going to work out by the end of last year. We now see it sort of trailing into the beginning of this year. It's certainly stabilized and that's encouraging, but we'll probably look to the second half to really see growth come back.
Jaeson Schmidt: Got you. And then just the last question for me and I'll jump back in the queue. I mean, I believe kind of Q4 gross margin was a record for the company or at least the highest in the recent past. Not trying to back you into the corner on sort of a margin target for '25, but just given all the dynamics of your business and the mix and bringing on new facilities, how much further expansion do you think is possible here?
Bryan Schumaker: Yes. A lot of it. Thanks for the question, Jaeson. A lot of it has to do with the mix on that too and the operational execution that we continue to do. So on two things, as you continue to hear us talk about the semi-cap expansion A&D and AC&C fall off, some of that is going to drive that margin expansion on that and we'll see how that kind of levels out throughout the year. And the operation efficiencies, I mean, we are very good at executing on that and we'll continue to try to be going forward on that whole component is ramping up and down as the factories and kind of what we see the demand to be. So again, there's a lot of execution around that and we'll continue to keep our eyes on it and continue to drive that. I mean, it's been a primary focus of ours and we'll continue to be going forward as you've seen over the last several quarters in the expansion we've had there as you mentioned.
Jeff Benck: I might just add a little color there too. While we are at the top end of the range against our competition on gross margin and we've done a great job of that and the mix will help. And as Bryan said, operational efficiency helps too. We have more focus on the operating margin line and what we can do there, right? And that's focused on SG&A expense, but also growth that we know we would get better, we lever up quite well. We worked hard to get north of 5 for the year last year and obviously we don't want to give up ground there. So as we look at a full year now kind of across with more of our sectors showing opportunity for growth, we are looking at low to mid single-digit growth on the year overall, which is what can help us drive a better bottom operating margin line.
Jaeson Schmidt: Got you. No, I appreciate the color guys. Thanks a lot.
Jeff Benck: Thanks.
Operator: Your next question comes from the line of Melissa Fairbanks from Raymond James. Your line is now open.
Melissa Fairbanks: Hey guys, thanks so much for taking my question. And I appreciate all the detail that you gave on the Medical segment. That was going to be my leading question. But I feel like I'm obligated -- someone is obligated to ask about AI on every earnings call it seems. I know when we last spoke, a lot of your focus on the advanced computing side obviously is just on the supercomputing. When we last spoke, you had kind of suggested that there might be opportunities for you to benefit in some of the broader AI market spend. Just wondering if you could give us an update on that?
Jeff Benck: Yes. We continue to talk about that and certainly put energy into it. We -- as you can imagine building these helping to develop these large supercomputers and manufacture subsystems for that and stuff, we deal with water cooled infrastructure. And we did mention in the remarks that, hey, we see that having applicability to some of the AI systems. We are real sensitive about commodity server infrastructure that doesn't have the profile that makes sense to us. But as the complexity is there, as there's more interest in doing things domestically, we certainly have infrastructure. So it's an area that we look that that's an opportunity for us to participate more broadly. The other thing I would say about AI and there's been obviously a lot in the press this week. Look, I think there's going to be pressure on bringing down the cost of AI. And you think about Moore's Law and reducing the cost of computing that has never gone badly in terms of driving volume and demand. And we do a lot to help wait for fab equipment guys build systems to build chips. And so as AI is a driver in that, in fact we saw a large semi customer today announce some uplift from AI. We think that's a great way for us to participate as well and that's the precision technology and our whole semi-cap space that can help there. But I think that's as far as we're willing to go today on our thoughts there. But we certainly see more opportunity to engage across our sites and platforms.
Melissa Fairbanks: Okay, great. Thanks so much. That's all for me.
Bryan Schumaker: Thanks, Melissa.
Operator: [Operator Instructions] Your next question comes from the line of Anja Soderstrom from Sidoti. Your line is now open.
Anja Soderstrom: Hi, thank you for taking my questions. I'm curious what you're seeing in the communications business. It sounded like you expect that to be weak throughout the first half of the year. I'm just curious what you're seeing there.
Jeff Benck: Yes. It is the one sector that is a bit of a drag on our overall growth. Not surprising though because there's really two things that we've kind of pointed to that we've seen. This HPC space where we've been more selective in compute to the more complex systems, it does have a programmatic nature to it. We're in a cycle now where a really large system we completed last year and now we are in that transition to the next gen platform. So we are seeing a bit of a lull there from some of our customers while that development is underway. We know that -- we feel confident it will come back and there's certainly ways that we can participate in smaller systems, but maybe not have quite as much on the big side. But then the other, is that we have a communications customer that we are super excited about, a new product line that they're bringing on and that we won. And, we're in the process of ramping that as well. More back half loaded and so that'll take time, but we are feeling pretty good about the potential that that can have for us. And so those are two transitions that we are looking at that's causing us to say we'll probably be down in AC&C this year, but you'll certainly look to start seeing year-over-year growth in the late quarters of the year.
Anja Soderstrom: Okay. Thank you. And then, can you remind us what your exposure to Europe is in terms of revenue and then also what you're seeing there?
Jeff Benck: Europe is just over 10% of our revenue. It's not a huge contribution, but it's important to us. And it's I would say, industrial in Europe has probably been a little softer. We also do semi work there as well. And so given that market's softness, it's been okay, but certainly hasn't been a growth driver for us. But as I said, it's approximately 10% of our overall revenue.
Anja Soderstrom: Okay. Thank you. And just one last. How do you see the outsourcing trends in general?
Jeff Benck: I'm sorry, I missed the end of it. The outlook?
Bryan Schumaker: Outsourcing trends.
Jeff Benck: Oh, outsourcing trends.
Anja Soderstrom: The outsourcing trend in general.
Jeff Benck: Yes, the macro environment, I think, every OEM is kind of looking at, should we be doing this in house or should we leverage, a partner like an EMS provider like Benchmark. And so I would say there's nice in our pipeline, there's a good healthy dose of customers that are looking to either outsource for the first time or don't want to bring on incremental capacity or maybe they just want to leverage our investment to continue to grow. And so I think the outsourcing trend is definitely a tailwind for us. We've seen even in a softer macro environment, there's still continued emphasis on that. So -- and so that's -- that's the one thing I'd say. The only other thing is, we are also paying close attention to the tariff activity, right? And a lot of discussion right now about what happens with Mexico and potential China stepping up a little bit. Obviously, the tariffs are already there on China. We have a pretty significant, really the largest as a percent of our total U. S. footprint. We know we've got capacity there. And so we are standing ready to help customers that might decide they want to do really onshore, not near shore if that move happens. But we like to see things work out, so that it's not super disruptive. But that being said, I think our domestic footprint is a positive.
Anja Soderstrom: Okay. Thank you. Great. That was all for me.
Jeff Benck: Sure. Thanks, Anja.
Bryan Schumaker: Thanks, Anja.
Operator: There are no further questions at this time. I will now turn the call back to Paul Mansky. Please continue.
Paul Mansky: Yes. Thank you, John, and thank you everyone for participating in Benchmark's fourth quarter and fiscal year 2024 earnings call. For updates to upcoming investor conferences and events, please check the Events section of our IR website at ir.bench.com. With that, we thank you again for your support and look forward to speaking with you soon. Have a good evening.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.